Operator: Good afternoon. My name is Christine and I will be your conference operator today. At this time, I would like to welcome everyone to the Semtech Corporation's Q2 FY 2017 earnings release. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Sandy Harrison, Director of Business, Finance and Investor Relations, you may begin your conference.
Sandy Harrison: Thank you Christine. Welcome to Semtech's conference call to discuss our financial results for the second quarter of fiscal year 2017, ended July 31, 2016. Speakers for today's call will be Mohan Maheswaran, Semtech's President and Chief Executive Officer and Emeka Chukwu, our Chief Financial Officer. A press release announcing our unaudited results for the quarter was issued after the market closed today and is available on our website at semtech.com. Today's call will include forward-looking statements that include risks and uncertainties that could cause actual results to differ materially from the results anticipated in these statements. For a more detailed discussion of these risks and uncertainties, please review the Safe Harbor Statement included in today's press release as well as other risk factors section of our most recent periodic reports on Form 10-K filed with the Securities and Exchange Commission. As a reminder, comments made on today's call are current as of today only. Semtech undertakes no obligation to update the information on this call should facts or circumstances change. During the call, we may refer to pro forma or other financial measures that are not prepared in accordance with Generally Accepted Accounting Principles. A discussion of why the management team considers non-GAAP information useful, along with detailed reconciliations between our GAAP and non-GAAP results are included in today's press release. I would also like to mention that Semtech will be participating at the Drexel Hamilton Telecom, Media and Technology Conference in New York City on September 7. With that, I will now turn the call over to Semtech's Chief Financial Officer, Emeka Chukwu. Emeka?
Emeka Chukwu: Thank you Sandy. Good afternoon everyone. For Q2 fiscal 2017, net sales increased 4% from the prior quarter to $135.9 million, the third consecutive quarter of results above the midpoint of our guidance. In Q2, shipments into Asia represented 73% of total net sales, North America represented 19% and Europe represented 8%. Total net sales to distribution represented approximately 64% of revenue and direct sales represented approximately 36%. Bookings in Q2 decreased over the prior quarter's strong performance, but the book-to-bill remained above one. Turns bookings accounted for approximately 47% of shipments during the quarter. Gross margin on a GAAP basis for Q2 of fiscal 2017 was 60.2%, up 30 basis points sequentially, due mainly to favorable product mix. In Q3 of fiscal 2017, we expect GAAP gross margin to be down slightly from the prior quarter as we expect a higher mix of consumer revenue. Operating expense on a GAAP basis was approximately flat with the prior quarter, as expected. In Q3 of fiscal 2017, we expect our operating expense on a GAAP basis to decline approximately 41% reflecting the impact of the $26 million of gain from the divestiture of Snowbush. Excluding this gain, operating expense on a GAAP basis is expected slightly lower than the prior quarter. In Q2 our GAAP tax rate was 37% compared to 39% in Q1 as a result of evaluation reserves that we maintain against our U.S. based deferred tax assets. Our GAAP effective tax rate is subject to extreme volatility during periods when our U.S. operations experience significant pretax losses in relation to total income from continuing operations as they did in the first and second quarter of the fiscal year 2017. In Q3, we expect our GAAP tax rates to be approximately 20% as the gain from the Snowbush divestiture is expected to benefit from favorable tax rates. For fiscal year 2017, we expect our full-year GAAP tax rate to be in the 24% to 26% range. Now I will talk about our non-GAAP results which exclude the impact of stock based compensation, the gain from the Snowbush divestiture, amortization of acquired intangibles, acquisition or disposition and other restructuring related expenses and reserves for certain liabilities not tied to current operations. In Q2, non-GAAP gross margin was 60.4%, up 20 basis points sequentially due to favorable product mix. We expect our Q3 non-GAAP gross margin to be down slightly due to a higher mix of consumer revenue. Q2 non-GAAP operating expense was $51.6 million, down 1% sequentially due to lower compensation expenses as a result of higher vacation utilization slightly offset by higher new project spending. In Q3, we expect non-GAAP operating expense to decrease slightly from the prior quarter. In Q2, cash flow from operations increased 129% sequentially to approximately $32 million or 23% of revenue and we ended the quarter with $239 million of cash and investments, up from approximately $216 million in Q1. In Q2, approximately 77% of our cash and investments were domiciled in international accounts and 23% was based in the U.S. Our debt balance is approximately $248 million and the balance on the outstanding stock repurchase authorization stands at approximately $62.3 million. The primary use of cash continues to be to pay down our debt, repurchase our shares and make strategic investments. Accounts receivable increased 16% sequentially as our shipments were higher towards the end of the quarter. Our days of sales outstanding increased by four days to 36 days and remains below our target range of 40 to 45 days. Net inventory in absolute dollar terms in Q2 was flat with the prior quarter and represented 105 days of inventory, just above the target range of 90 to 100 days. In Q3, we expect our net inventory to increase slightly from these levels on an absolute dollar amount and for days of inventory to decline modestly. In summary, we are pleased with the strong performance in the first half of fiscal 2017. Our key growth engines are starting to contribute nicely to the topline. Gross margin is stable at the high end of our 55% to 60% target range. Our operating expenses are under control and as a result, in the first half of 2017 on a year-over-year basis we grew our non-GAAP operating profit eight times faster than revenue growth. With continued revenue growth, we are well-positioned to make very good progress towards our non-GAAP operating margin target of 25% to 30%. I would now hand the call over to Mohan.
Mohan Maheswaran: Thank you Emeka. Good afternoon everyone. I will discuss our Q2 fiscal year 2017 performance by end market and by product group and then provide our outlook for Q3 of fiscal year 2017. In Q2 of fiscal year 2017, we achieved net sales of $135.9 million, which was an increase of 4% from Q1 of fiscal year 2017 and an increase of 8% from Q2 of fiscal year 2016. We experienced higher demand from our high-end consumer and industrial end markets while demand from our enterprise computing and communication end markets declined from the prior quarter. For Q2 of fiscal year 2017, we posted non-GAAP gross margin of 60.4% and non-GAAP diluted earnings per share of $0.35. In Q2 of fiscal year 2017, net revenues from the industrial end market increased from the prior quarter and represented 27% of total net revenues. Revenue from the high-end consumer end market also increased from the prior quarter and represented 25% of total net revenues. Approximately 19% of the high-end consumer net revenues was attributable to handheld devices and approximately 6% was attributable to other consumer systems. The enterprise computing end market revenues decreased from the prior quarter and represented 30% of total net revenues while demand from the communications end market also decreased from the prior quarter and represented 17% of total net revenues. I will now discuss the performance of each of our product groups, beginning with our signal integrity product group. In Q2 of fiscal year 2017, our signal integrity product group declined from the prior quarter's record quarter performance and represented 47% of total net revenues. Net revenues from the industrial end market increased as our broadcast video products rebounded from a seasonally weak Q1. Net revenues from the enterprise computing and communications end markets declined sequentially as strong demand for our data center optical solutions was offset by softer demand for our PON and wireless base station solutions, as expected. Our signal integrity product group is currently benefiting from strong demand from the cloud and hyperscale data center markets and high-speed optical connectivity in general. Semtech's leadership position in Clock Data Recovery devices or CDRs and physical media devices or PMD in 10 gigabit per second, 25 gigabit per second and 100 gigabit per second optical modules are driving the strong growth momentum. In Q2, our CDR revenues achieved record levels as shipments of 100 gigabit per second optical modules accelerated. We anticipate that our CDR business will continue to grow nicely as we see an acceleration of 100 gigabit per second optical deployments. We also expect our CDR business to achieve record revenue levels for the year. Over the past several quarters, we have expanded our optical portfolio by introducing a number of new platforms that include single and quad 25 gigabit per second CDR platforms with integrated PMD functions targeted at 100 gigabit per second applications. CDRs are being used to deliver the throughput required at high data rates and Semtech CDR platforms offer best-in-class performance with a lower overall solution cost. The migration to 100 gigabit per second and 400 gigabit per second interconnect data rates also continues to drive strong customer interest for our single-lambda 100 gigabit per second PAM4 platform. We have won some key 100 gigabit per second and 400 gigabit per second design wins at Tier 1 optical customers. Semtech is very well positioned to capture early share in the 100 gigabit per second single-lambda optical market and the emerging 400 gigabit per second optical market for cloud and hyperscale data center solutions. We believe we are uniquely positioned to deliver single channel 10 gigabit per second, single channel 25 gigabit per second, quad channel 25 gigabit per second PMD and CDR platforms today and single-lambda 100 gigabit PAM4 and 400 gigabit per second platforms next year. Our strong optical portfolio positions us very well to continue the strong double digit growth this business has generated over the last five years. For Q3 of fiscal year 2017, we expect net revenues from our signal integrity product group to be approximately flat as continued strong demand from the data center market is offset by softness from the wireless base station and PON markets. We are expecting the PON and base station markets to begin to recover in late Q3 and return to growth in Q4, resulting in strong annual growth and we anticipate our signal integrity product group to have another record revenue year. Moving on to our protection product group. In Q2 of fiscal 2017, net revenues from our protection product group increased 16% from the prior quarter and represented 27% of total net revenues. Demand increased across the high-end consumer, enterprise computing and industrial end markets while our communications end markets declined from the prior quarter. Demand from our largest Korean and China smartphones customers increased from the prior quarter. We expect both our Korean and Chinese smartphone protection businesses to show double digit growth this fiscal year. During the quarter, our protection product group introduced new platforms targeted at interfaces covering a broad range of applications. We announced the μClamp 3381P, a single line transient voltage device used to protect VBus and data lines in industrial and consumer applications. This device delivers high surge power protection, high ESD voltage and low capacitance at 3.3 volts for applications that include optical modules, LCD TVs, tablets, CCTV, cameras and instrumentation. We also announced the μClamp 2417P, a 7-line surge rated 24 volt protection array for broad use in industrial market applications. As more end nodes are being deployed from the explosive growth of IoT, these nodes are being exposed to disruptive environments. This protection array is designed to safeguard connect interfaces from these disruptive transient voltage spikes that include ESD and lightning surges. As the electronic industry transitions to smaller, more advanced lithographies, the ability to provide on-chip protection continues to diminish. The increased sensitivity of these smaller transistors to ESD events is resulting in poorer quality and less robust mobile devices. Semtech's protection platforms provide the industry's highest performance and smallest packages delivering the protection solutions required by today's leading high-quality electronics systems. We believe our strategy of focusing on advanced lithography protection and diversifying our protection business is starting to pay off. In Q3 of fiscal year 2017, we expect our protection business to increase nicely as we expect to further growth from both our Korean and Chinese smartphones customers. Turning to our wireless and sensing product group. In Q2, net revenues from our wireless and sensing product group increased 34% from the prior quarter and represented 15% of total net revenues. Demand increased across all of our end markets from the prior quarter. In Q2, we had record quarterly revenues from our LoRa platforms and we had record quarterly revenues from our proximity sensing platforms. We also had record bookings and design wins for our LoRa platforms. During Q2, we continued to see increasing demand for LoRa as global adoption of LoRa for low-power wide area networks used for IoT and M2M applications gained momentum. We are seeing more global mobile network operators or MNOs evaluate LoRa for their future IoT technology platform. We are also starting to see more MNOs move from trials to full deployments, which will accelerate the demand for LoRa end nodes. Some of the most recent major network related milestones include South Korea Telecom or SKT, announced the building of a nationwide LoRaWAN network expected to cover 99% of the South Korea population. They are predicting to have over four million things connected by the end of 2017. In addition, SKT is working with a number of Asian MNOs to expand its IoT footprint across Asia. Asia Pacific Telecommunication or APT recently announced their LoRa network rollout in Taiwan, turning a country of approximately 23 million people into a smart connected island. APT has also announced its intent to expand to other countries in Asia. Unidata S.P.A., a telecommunications and Internet company in Italy, announced their LoRaWAN network rollout and the building of a LoRa lab in Rome, Italy to encourage use of LoRa for IoT applications. Tele2, a Swedish telecom operator and TalkPool, an IoT and telecom network specialist, are deploying a LoRa IoT network in Sweden for a wide range of applications targeted at improving business efficiencies and increasing public safety. And Nippon Telegraph and Telephone West or NTT West, announced the rollout of a trial LoRaWAN network in the Kansai area of Japan to field test a wide range of IoT applications including smart metering, smart agriculture and smart asset tracking. These are just a handful of the LoRaWAN networks recently announced or being deployed but it is becoming clear that the low-power, long range and low cost of a LoRaWAN network is a true enabler to IoT applications. We expect that most, if not all regions of the world, will have some form of LoRaWAN network deployed or in the midst of deployment by the end of calendar year 2017. Our LoRa ecosystem enabled by our partners in the LoRa Alliance now represents almost 400 companies. Many more companies are working in stealth mode but we expect these companies to make significant announcements in the near future. Some of the recent, most significant LoRa-related events include Orange joining the LoRa Alliance board, bringing one of the largest mobile network operators in Europe to help direct and drive the global success of the LoRa Alliance. Murata announced a compact wireless LoRa module, which can support a wide range of sensors for IoT and M2M applications. At 12 millimeter by 12 millimeters, its tiny form factor can drive the deployment of millions of LoRa sensor nodes in a very small area. And the adoption of LoRa in China is accelerating as we believe the majority of China metering companies are adopting LoRa for future metering solutions and several China networking companies are actively testing LoRa for their IoT networks. In addition to these developments, we formally announced our GPS-free geolocation capability that allows IoT operators to add asset tracking and geolocation to any mobile sensor operating over a LoRaWAN network. We already have for four signed geolocation arrangements and have another four in the pipeline. The applications for geolocation capabilities are wide ranging and some of the very early solutions that have been introduced include a ski tracker solutions to track ski school students at a ski resort and an elderly person tracker at a healthcare provider. The additional capabilities and benefits provided by Semtech's geolocation technology increases the number of cloud-based services that can be offered on a LoRaWAN network resulting in new revenue streams for LoRaWAN operators and service providers. These new opportunities along with many of those currently in production contributed to record quarterly LoRa records in Q2, giving us further confidence that we can achieve $100 million in annual LoRa enabled revenues in the next three years. Our proximity sensing platforms also delivered record quarterly revenues as the deployment of sensors to manage radio power in mobile devices increased. Semtech continues to expand its market share at existing mobile customer as well as in new tablets, smartphone and wearable applications as more high-power radios are deployed. We believe that we have established a strong position in the proximity sensing market and we expect more future design wins and revenue growth from our proximity sensing solution as we expect more future regulation directed at minimizing human exposure to harmful radio energy. For Q3 of fiscal year 2017, we expect net sales from our wireless and sensing product group to increase from Q2 and achieve record revenue levels. We expect both our LoRa business and our proximity sensing revenues to achieve record revenues again in Q3. Turning to our power and High-Rel product group. In Q2 of fiscal 2017, our power and high reliability product group continued the momentum achieved in the prior quarter and increased 10% sequentially and represented 11% of total net sales. Demand increased from the prior quarter across all of our end markets. Our power and High Rel business remains focused on delivering platforms for the automotive, home automation and wearable segments. We recently demonstrated the industry's first certified and self-contained tri-mode wireless charging platform at the AirFuel Alliance meeting. This tri-mode transmitter supports both inductive and resonant charging technology as well as the WPC and Z standards. By supporting these industry standards, we expect our wireless charging platform to help ensure interoperability between infrastructure based transmitters and a diverse number of mobile devices. Our programmable wireless charging platforms delivered a range of power options scalable from 100 milliwatts to over 20 watts ideal for wearable and infrastructure applications. While the wireless charging market is still in its infancy, the flexibility and versatility offered by Semtech's programmable multimode and scalable power platforms has positioned the company as an early leader in the market. We have a number of design wins with a diverse group of customers in key growth markets that should start to move to production in the next six to nine months. During the quarter, demand also increased for our isolated switch platforms. Customers are looking to replace older mechanical relays with smarter, quieter and more reliable solid state technologies. Semtech's solution is optimized for low-voltage switching applications such as smart thermostats, security systems, intelligent sensor control and other home automation systems. We expect this business to continue to grow as more devices transition from older mechanical solutions. In Q3 of fiscal year 2017, we expect net sales from our power and high reliability product group to be approximately flat. In Q2, the total company distribution POS decreased approximately 2% from the prior quarter. Distributed inventory increased by two days from 71 days in Q1 to 73 days in Q2 and remains at the lower end of our targeted range of 70 to 80 days. Our distributor business remains very well balanced with 53% of the total POS coming from the high end consumer and enterprise computing end markets and 47% of total POS coming from the industrial and communications end markets. Moving on to new products and design wins. In Q2 of fiscal year 2017, we released 18 new products and we achieved 1,857 new design wins. Now let me discuss our outlook for the third quarter of 2017. Based on the bookings from Q2, we are currently estimating Q3 net sales to be between $134 million and $142 million. To attain the midpoint of our guidance range or approximately $138 million, we needed net turns orders of approximately 44% at the beginning of Q3. We expect that Q3 GAAP earnings to be between $0.49 and $0.53 per diluted share, which includes the proceeds of the sales of our Snowbush divestiture and our Q3 non-GAAP earnings to be between $0.34 and $0.38 per diluted share. I will now hand the call back to the operator and Sandy, Emeka and I will be happy to answer any questions. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Cody Acree from Drexel Hamilton. Your line is open.
Cody Acree: Thanks guys for taking my questions and congratulations on the progress. Mohan, can you maybe just go back and summarize a bit? Over the last couple of quarters, you have had data center that seemed to be pretty strong, you had quite a bit of volatility in comms infrastructure, your smartphones are coming up seasonally, but maybe if you can just go and look over the last couple of quarters and then maybe look into the third quarter and just kind of talk about the transition of some of the major drivers and what of these are seasonal and maybe what of this is driven by a bit of inventory volatility versus maybe underlying demand?
Mohan Maheswaran: So let me start with that question. The inventory, I think the base station stuff and the PON stuff is very strong in Q1, weaker in Q2. We are guiding a little bit weaker in Q3. We expect that to come back in Q4 and still for both of those businesses do well on an annual basis. So that's more inventory seasonal related. I think if I look at the data center side, it's just mostly driven by, obviously the expansion of the data centers in the hyperscale, data centers driven by the cloud. This is kind of a big theme in the industry, obviously more people going into the cloud, more infrastructure being deployed, more data centers, more service, more connectivity and so that is clearly driving our optical business very nicely and I think that will continue. We don't anticipate any slowdown on that, especially because we have such a good position in the 100 gig space and increasing in the 400 gig space there. So that's the data center side. On the smartphone side, the story has always been, well, how well it is for us anyway. And historically, it's been how well is Samsung going to do with their new phones. Well, we have made an active, really actively tried to diversify the portfolio, as you know, the business, the customer base. And so we have, over the last year, done a pretty good job, I think, of penetrating the China smartphones. And so now we are benefiting both from Korea smartphone success, which is doing better than historically, at least in the last couple of years and I think the China business is also doing quite well. And then when we add to that the wireless and sensing business, the LoRa business is kind of on its own driven by IoT really a separate secular growth engine for us. And then the smart sensing, which is proximity sensing tied to smartphones are both doing very well and I think will continue. They are both early stage industries really for us. And so I think that's the way I would look at it. So we are anticipating this year to be a growth year obviously and then we see continued growth into next year.
Cody Acree: And I guess, what's giving you confidence that the base station and PON business is likely to come back stronger in Q4?
Mohan Maheswaran: Just what our customers have told us. I think that towards the end of Q3, we are expecting, we know if we go to China that the deployments of fiber is still going on and they still need it to go out there and put infrastructure in place. So it's been more of a inventory correction, I think. And I think that we will start to see it, if not end of Q3, certainly by the beginning of Q4.
Cody Acree: And then lastly, you announced the geolocation capability for the LoRa nodes. At the Analyst Day, you talked about the potential for maybe some royalty agreements, some service fees associated with those. You said you were in early talks with some of those service providers. I guess, can you give us any update as to how those discussions have gone and maybe do you expect any revenues from those any time soon?
Mohan Maheswaran: Yes. I mentioned on my script, Cody, that we have now signed four agreements. We have another four in the pipeline. All of those agreements come with a modest license fee and then ongoing royalties. Of course, the royalty don't come until the networks are deployed and they have active geolocation tracking going on. So probably it would be mid-year, mid next year before we start to see the revenues coming from that.
Cody Acree: Perfect. Thanks guys and congrats on the progress.
Operator: Your next question comes from the line of Steve Smigie from Raymond James. Your line is open.
Steve Smigie: Great. Thanks a lot guys and I will add my congratulations on all the progress here. Mohan, I was wondering if you could comment a little bit on, as you mentioned, you still feel confident in the $100 million for LoRa. Do you still feel good about the interim targets as well?
Mohan Maheswaran: Yes. So we said that this year, we are anticipating in the $30 million range, next year $50 million to $60 million and then following year $100 million. So to me, the numbers are the result of all the progress and one of the reason I had laid out some of the progress is that I think it's pretty good, it's globally good momentum on the networks being deployed. The public networks are being deployed. We have a lot of private companies going out and doing their own thing. And just the technology itself and then the LoRa Alliance, if you look at close to 400 members and some of these members being very, very large corporations, all committing themselves to LoRa deployment of some sort. I think the progress is very good. So we only see positive signs at the moment on LoRa.
Steve Smigie: Okay. Great. I appreciate that. And then on the PON, thanks for the clarity you have given so far, I think there's been some concern that maybe PON would slow post-2016. Latest chatter seems to be it's going to extend further than that. Do you have any color sort of two, three year time frame, just kind of, I don't know, it may not be a lot of growth, it could be a great cash cow type business. Any thoughts two, three year type time frame?
Mohan Maheswaran: Actually, we are projecting continued growth for a few years. We are seeing that the speeds are increasing. So they want to go from, I think, one gig, 2.5 gig to maybe 10 gig PON and eventually 25-gig even. So we are seeing definitely an opportunity to grow in that area and same thing is true for the base stations. We don't see any letdown in either of those segments. As I mentioned, I think we have a very strong Q1 from a PON standpoint and I think Q2 was down. In Q3, we are projecting it to be fairly weak on the PON side, but as I mentioned in the back end of Q3 or at least in Q4, we expect to start to see that come back again.
Steve Smigie: Okay. And finally, great progress on the [indiscernible]. Can you just talk a little bit about or an update on who you are getting a lot of wins with on Chinese side? And I apologize, I sneak one more in. I think the CapEx maybe is a little bit lower than expected this quarter? Maybe you have guided a little bit higher for the coming quarter? Is that the right way to think about it? And what's sort of driving the CapEx there? Thanks a lot.
Mohan Maheswaran: Steve. Was the question you asked on smartphones or potential?
Steve Smigie: Yes. I apologize. The first question is on the smartphones and who are the Chinese guys you are winning with? And the second question was on CapEx and what's driving that.
Mohan Maheswaran: Okay. So in China, we had pretty good, again one of the things we are trying to do with our smartphone business in general and certainly on our protection business is to diversify the business so we have more customers. We can't just have Samsung. Obviously Samsung is doing very well for us at the moment. So it's actually good. But on top of that, we have wins at Huawei, Xiaomi or Vivo, Lenovo. We have a broad range of customers and service in China and that's going to continue to be the strategy, try to just get some share in all of the guys if we can.
Emeka Chukwu: So Steve, with regards to your question on the CapEx. I think the key driver there is just the higher volumes. As we go forward, the expectation is that especially some of our newer products is that we are going to need a whole bunch of new handlers and sales staff. And also there is also this factor of where you actually receive the equipment that you place an order. So coming into Q2, I think we are expecting CapEx in the range of about $8 million and we didn't receive most of those. So we now expect to get them in the third quarter or the fourth quarter.
Steve Smigie: Okay. Great. Thanks a lot guys and congrats again.
Operator: Your next question comes from the line of Mitch Steves from RBC Capital Markets. Your line is open.
Mitch Steves: Hi guys. Thanks for taking my question. I have two quick ones. So first, just given that there's been so much consolidation, I guess, in the semiconductor space and the analog space as a whole, how are you guys thinking about consolidation in the space and potentially driving shareholder value through integrating growth, say buying other companies either as an acquirer or as an acquiree as well?
Mohan Maheswaran: Well, we have always been big believers in the fact that consolidation is necessary and driving growth through acquisitions is a key part of our toolkit. And that's why when we have transitioned the company over the last 10 years, we have been leading the charge here, moving from one or two product segments and one or two application segments to having a much broader range of technologies and platforms and markets and expanding the SAM. You don't expand the SAM unless you come out with new technologies and disrupt markets. And we have done that incredibly well, I think, with certainly LoRa and some of the things we have done, with Gennum acquisition on the signal integrity front. So that continues to be a tool that we use for growth. Having said that, we very much believe, as I mentioned at the Analyst Day, in strategic acquisition. We are not a company that -- we manage our OpEx very carefully. We manage our resources very carefully. There's not a lot of excess here. And so we try to make sure only to acquire a company or we partner with a company, it's really about strategic growth, one plus one equal 10 kind of thing.
Mitch Steves: Got it. Thank you. And then secondly, just in terms of revenue comment you guys have made. So looking at a recovery in Q3 and kind of growth in Q4, so does that imply kind of Q4 is above seasonal? Or how do I think about the seasonality in Q4 in general as well?
Mohan Maheswaran: Yes. We believe Q4 will be above seasonal at the moment the way our business is looking and the way the different product groups are looking and the different markets are behaving. We believe that Q4 will be better than originally anticipated, for sure.
Mitch Steves: Got it. Thank you.
Operator: Your next question comes from the line of Harsh Kumar from Stephens, Inc. Your line is open.
Harsh Kumar: Yes. Hi. Thanks guys. Congratulations on great guide in the quarter. I had a couple of questions. Mohan, when I look at your guidance, most of your growth on the topline is coming from the protection and the wireless and sensing divisions. Can I ask you which one is driving the better part of the growth in the guide on topline?
Mohan Maheswaran: They are both probably about the same, I would say, Harsh. Yes, both of them are about the same.
Harsh Kumar: Okay. Fair enough. And then one for Emeka. Emeka, you mentioned that your goal is 25% to 30% up margins. Can I ask you to reiterate what revenue level is needed to get there? And if you are still at this point, you feel there's a need for OpEx increases at some point along the way to get there?
Emeka Chukwu: So I think to get to the low end of that range, the 25%, we will probably need to be in the $150 million quarter run rate. And to get to the midpoint and the higher end, it's probably we need to be at about $175 million quarter run rate. The reason we feel good about being able to do that is, as you can see, our gross margins have been pretty stable and as we look at the next wave of revenue growth and where we have seen most of our strength from, there is nothing to indicate that we should be significantly below the gross margin that we are seeing currently. And then addition to that on the operating expense side, as Mohan did indicate, we have done a good job of managing OpEx. We have typically managed our OpEx to about half the rate of revenue growth but in the near term here, we are still, we are going to try to manage our operating expenses to lower than that rate. That is why we feel that to get to that low end of that range, we probably need to be at the $150 million a quarter run rate than to get towards higher end, is going to be about $175 million per quarter.
Harsh Kumar: Okay. Fair enough. And Mohan, you talked a lot about some of the optical parts and pieces and then you talked about something more interesting, the 100 gig single-lambda piece. Correct me if I am wrong, I think you are hinting towards revenues next year. Can you tell us what the time line to get there? In other words are you sampling with this product now? What's the level of interest? And then what time frame next year can we expect some kind revenue from this product?
Mohan Maheswaran: So the single-lambda 100 gig product will start to sample early next year, Harsh. So it's still early for that, but with our partnership with MultiPhy, as we have announced previously, the beauty though for us is that we have a very strong position with that quad 25 gig modules and 25 gig CDRs on 100 gig modules and it's the same customer base essentially that will move over to 100 gig single-lambda. And then we have, I mentioned two very important strategic wins we have in Tier 1 OEMs that are really for the 400 gig and 100 gig. Again, it will be mid to end of next year before revenue, I think, starts to kick in and really the following year is when we start to see the bigger revenue. So on the PAM4 stuff, I don't think revenue is going to be significant driver for next year.
Harsh Kumar: Okay. And then you are also, Mohan again a question about the mix, you are exposed to data center, you are exposed to PON, you are exposed to wireless. I am curious, you said PON will probably start recovering in the later part of Q3. How big are these two relative pieces? The data center piece versus your PON piece, how much is PON? I assume PON is bigger than data center. I was wondering how much bigger is it?
Sandy Harrison: So Harsh, this is Sandy. If you look at base station, that's typically been high single digit and that's where it will probably end up at when we look at the end of the year. PON has typically run in the mid-teens, maybe the high-teens earlier in the year where it has been at the upper end of that range and it will probably exit more to lower end. And then the data centers would be in the low to mid-high teens and is operating at the higher end of that range right now.
Harsh Kumar: Okay. Thanks guys. Yes. Sorry. Go ahead.
Emeka Chukwu: So Harsh, I think one of your questions was which one was bigger. In the last fiscal year, definitely our PON business was the biggest of the three, but actually because of very nice growth rates that we are seeing in the data center, our expectation is that at the end of this current fiscal year, the data center revenue is going to be bigger than the PON.
Harsh Kumar: Nice. Great. Thanks. That's it. Congratulations guys.
Operator: Your next question comes from the line of Craig Ellis from B. Riley & Co. Your line is open.
Craig Ellis: Yes. Thanks for taking the question and congratulations on the quarter and outlook. Just a couple of follow-ups here. First Mohan, it looks like you continue to get good diversification in the protection portfolio and you are seeing growth in numerous customer groups. How do you feel about the sustainable growth of that segment going forward?
Mohan Maheswaran: Pretty good. You have to look into the details of the whole business unit. Again as we explained this at the Analyst Day that while we are successful in smartphones and continued to be, it's because of the form factors that we have. We have such a good advantage there and the performance of our platforms. But that doesn't mean we are not getting wins in automotive, in industrial, in computing and a whole range of different segments. We are. We are doing well in other segments. They just don't grow as fast or quickly. And so I think we will continue to make sure that we put the emphasis on the diversification aspect for this business. It's certainly important for us. We just can't control and we have no control over how well Samsung does in one quarter and how well the Chinese do in one quarter. But I think if we can continue to diversify the business, I think it's a very healthy growth business for us.
Craig Ellis: It sounds good. And then since you mentioned at the Analyst Day, I thought I would just cycle back to one of the bigger longer-term points. The company's objective was to increase its SAM twofold by the 2021 timeframe. It's only been two months, but can you give us an update on some of those longer-term parameters? And are they still reasonable for the way you are looking at the business' performance?
Mohan Maheswaran: Yes. Definitely. I think it starts with LoRa really helped, as I mentioned, I think that's probably the biggest one for us in terms of SAM expansion and it is going very well. The IoT space is there, it's real. We see customers deploying smart applications and generating revenue from it. It is small today but it's growing very fast and we all know about the number of nodes that are projected out there. So certainly LoRa is meeting all of the expectations at the moment. I think on the signal integrity side, data centers we know about, the hyperscale, cloud drive and what's going on there. And then the PON, as I mentioned, I think it will continue to expand and I think the base stations as well just because there's more bandwidth required and you have to get more data through the pipes. So it has to come from somewhere. On the wireless charging side, it's a little bit early. We are expecting that market to be big but I think it's still a little bit early on the power side there. And then on protection, as I mentioned, I think we expect as lithographies continue to get more advanced, that there will be more demand for our protection. Electronic systems need to be robust. They need to be high quality and if you don't have good protection when you have advanced lithography devices in your system, you are likely going to have some type of failures and I think we view that as a major megatrend as we talked about at the Analyst Day.
Craig Ellis: Thanks guys.
Operator: Your next question comes from the line of Rick Schafer from Oppenheimer. Your line is open.
Rick Schafer: Thanks guys. And I will add my congratulations as well. A quick follow up on the 100G question. I am curious what your split is now between 10G and 100G? And maybe a point of clarification, just is your dollar content higher in 100G or is it just that attach is so much higher with you guys with 100G?
Sandy Harrison: If you look at it, it's probably still heavily biased towards the lower speed. The 100 gig is ramping and we are seeing it. And one of the things, like Mohan talked about in his prepared remarks was, we are seeing the use of more CDRs with these higher speed. So there's a little bit of seeing more of our content in the higher speeds as well as us getting more of the opportunities in some of these emerging designs.
Mohan Maheswaran: Yes. I should point it out also, Rick, when even for base station backhaul and things like that, different areas where you are using a 25 gig link versus a 10 gig link, you may require a CDR. So the CDR deployments are going to increase with bandwidth. That's an important point to understand.
Rick Schafer: Do we get to like 100% kind of attach when we are talking 100 gig? Is that kind of what you are talking about? Or?
Mohan Maheswaran: I think every 100 gig port today is using CDR of some sort. Yes.
Rick Schafer: Okay. Thanks. And then a question on auto. I don't think anybody has asked about that to you. How big is that business? I think it's pretty small for you guys today but how big is that business for you guys? Maybe some color where most of your design activity is there? And maybe how long before that becomes maybe a more material line item for you guys on the topline?
Emeka Chukwu: So Rick, I think that business today is probably 3% to 5%. It's too small, as you mentioned. But I think it is also an area of opportunity for us as we continue to think about ramp-up of the wireless charging systems. I think the automotives space is definitely a very attractive space for that. Even with protection business, particularly in our broad reach systems in vehicles is also one of the areas that we are really looking for when we talk about diversification of our protection and auto space is definitely an attractive space for us. So it is pretty small today but we do believe that over the years, it is going to probably become a sizable business for us, probably in the neighborhood of about 10%.
Mohan Maheswaran: There are also LoRa opportunities in automotive and power, just that portfolio of power management in addition to wireless charging for displays and other types of infotainment as it goes into the vehicle. So we just see it as a good segment for the type of products we have and this is really the new automotive vehicle versus the old.
Rick Schafer: Right. Well, great. Thanks guys.
Operator: There are no further questions at this time. Mr. Mohan Maheswaran, President and CEO, I turn the call back over to you.
Mohan Maheswaran: Okay. In closing, our focus on high growth markets such as cloud and hyperscale data centers, optical connectivity and IoT has contributed to a strong performance in the first half of FY 2017. We remain focused on making strategic investments in platforms targeted at fast growing markets while maintaining our discipline on operational efficiencies which should help leverage earnings growth as our revenues grow. With that, we appreciate your continued support of Semtech and look forward to updating you all next quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.